Operator: Good day, ladies and gentlemen. Welcome to the Vista Gold’s First Quarter 2015 Financial Results and Update on Recent Activities Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded today, Tuesday, May 12, 2015. It is now my pleasure to introduce Vista's President, CEO, and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Frederick H. Earnest: Thank you, Nick. Good afternoon, ladies and gentlemen. Thank you for joining Vista Gold Corp's Q1 2015 financial results and corporate update conference call. I’m pleased to be joined on this call by Jack Engele, our Senior Vice President and CFO and Connie Martinez, our Director of Investor Relations. In the first quarter of this year, we have strengthened our balance sheet. We received a final cash payment from the investor group with respect to the Los Cardones gold project in Baja California Sur and sold approximately 50% of our remaining interests in Midas Gold Corp. We believe we are now funded into the third quarter of 2015 and well positioned to continue to fund the programs and activities of the company without the need to raise capital in the equity markets in the current market conditions. We remain focused on the Mt Todd gold project in Australia. This year's wet season produced approximately 25% less precipitation than normal. This has favorably benefited our water management programs. We have started the field investigations necessary to prepare the request for the authorization required under the Environmental Protection and Biodiversity Conservation Act of 1999 from the Federal Government as it relates to the Gouldian Finch and anticipate that this authorization will be granted by the fourth quarter of this year. The continued weakness and many macroeconomic factors is providing positive offsets to the lower gold price. The Northern Territory Government provided funding for water treatment and some pumping this past wet season and we are pleased with positive working relationship that we enjoy. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-Q for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. I will now turn the time over to Jack Engele and following his discussion of the financial results, I will discuss our progress of the Mt Todd gold project.
John F. Engele: Thank you, Fred. Good afternoon everyone. I'll start with our statement of income and loss for March 31, 2015. For the quarter, we reported a net loss of $0.9 million or a penny a share. The main components of this loss include operating expenses of $2 million, our realized loss of about $300,000 on the sale of 8 million of our Midas shares and an unrealized mark-to-market loss of about $400,000 on our remaining 7.8 million Midas shares. We also realized a gain of about $2 million on the completion of the sale of the Los Cardones project. The $2 million of operating expenses for the first quarter included about $1 million for property holding costs principally at our Mt Todd gold project. This is a reduction of about 31% from the same period last year. A significant portion of this reduction results from a weaker Australian dollar in 2015. In addition, below normal precipitation during the recently ended wet season at Mt Todd resulted in some cost savings and this year the government of the Northern Territory shared the cost of treating and discharging water from the Batman Pit. They did not participate in this matter in 2014. Corporate G&A costs totaled about $1 million. These costs are down approximately 18% from 2014 levels. The 2014 costs included severance costs which have resulted from the 2013 retrenchment program. There were no similar costs in 2015. Cost control and cost reduction continues to be a primary focus throughout the organization although future cost cuts cannot be expected to be on the scale of those we have achieved to date. Turning to our balance sheet and liquidity, as Fred mentioned we have improved our balance sheet during the quarter. Our working capital totaled approximately $10.8 million at March 31, 2015. This includes cash and cash equivalents of $8.7 million. This is an increase of $5 million in cash from December 31, 2014. The cash increase resulted in the final $3 million payment for the Los Cardones project. Net proceeds of $2.8 million from the sale of 8 million of our Midas shares and the $500,000 option payment for the Guadalupe de los Reyes project we received from Cangold. Looking ahead, at Mt Todd our fixed cash costs we find those as those expenditures necessary to ensure that we preserve our property rights and all of our safety, regulatory and environmental responsibilities. They are expected to average approximately $750,000 to $850,000 per quarter for the remainder of 2015. Our 2015 corporate G&A fixed costs are also expected to average about $750,000 to $850,000 per quarter. With the recent improvements to our treasury, we believe we will have sufficient cash to fund our fixed costs into the third quarter of 2016. The scope of any discretionary programs that we could introduce would affect that timing of course. Consistent with our stated strategy, we expect to continue to finance the company through undiluted means for the foreseeable future. We were disappointed that a transaction for our use did not materialize during the quarter, particularly this equipment remains for sale and continues to be a potential source of non-dilutive financing. In February Cangold announced that they had entered into a binding letter of agreement with Great Panther Silver, a producing silver company pursuant to which Great Panther will acquire all of the issues in outstanding shares of Cangold in a plan of arrangement. We believe that if this plan of arrangement closes, the likelihood of receiving the Guadalupe de los Reyes option payments of which $1.5 million is due in January greatly improves. With the recent sale of our Midas stock we agreed to a six months lockup on our remaining 7.8 million of Midas, following which this asset could be considered another potential source of non-dilutive financing. That concludes my comments. Fred will now give you an update on recent events at Mt Todd.
Frederick H. Earnest: Thank you, Jack. At Mt Todd, we are pleased to have the wet season behind us. Not only did Mt Todd receive approximately 25% less precipitation this wet season, but there were no high intensity events which have a higher potential for site infrastructure damaged. Our normal wet season water management programs in combination with less precipitation and higher than normal evaporation rates have produced exceptional results. We were able to discharge 1.4 gigalitres or 1.4 million cubic meters of treated water from the Batman Pit effectively lowering the water level in the pit by approximately 4 meters. This cumulative discharge of treated water was undertaken in strict accordance with conditions of a discharge license and we expect to further reduce the inventory water on-site through various evaporation programs over the course of the dry season. Last year we successfully completed the Review and Approval process for the Mt Todd environment statement. During that process, the Federal Environmental Protection Authority indicated that an impact statement during that process the Federal Environmental Protection Authority indicated that an authorization under the Environmental Protection and Biodiversity Conservation Act of 1999 would be required with respect to the Gouldian Finch. We have retained SLR Consulting to undertake the field investigations and prepare the request for authorization. I'm pleased to report that the field investigations have commenced and recent discussions held with officials from the Federal Environmental Protection Authority lead us to believe that we are on track to have the authorization granted before the end of the third quarter of this year. This authorization constitutes the last significant environmental authorization required for the development of the project. Many of you are aware that the relationship between the U.S. dollar and the Australian dollar has changed in a matter that is favorable for the Mt Todd project. In May 2013 when we published the results of the preliminary feasibility study for the Mt Todd gold project the U.S. dollar and the Australian dollar were approximately equally valued. Today, the value of the Australian dollar is approximately U.S. $0.79 and we regularly update our cash flow models with current gold prices and exchange rate information. While gold price volatility and general apathy in the equity markets continue to be defining factors, our current cash position allows us to look beyond the present market conditions. We continue to be confident that we will be able to fund our corporate obligations and programs without the need to raise capital in the equity markets at current share price conditions. We believe that Vista continues to provide shareholders with exceptional leverage to improving gold prices. We are taking steps in this market to position the Mt Todd gold project which is Australia's largest known undeveloped gold resource for development when economic conditions permit. We remain focused on the efficient use of financial resources and expect to continue to maintain a solid balance sheet without further dilution to Vista's shareholders. We believe that Vista is a compelling investment opportunity, especially at current prices. That concludes our prepared comments. We will now respond to any questions from participants in this call.
Operator: [Operator Instructions] Our first question comes from the line of Jeffery Wright. Please go ahead.
Jeffery Wright: Hi good afternoon Fred, how are you doing?
Frederick H. Earnest: Good Jeff. Thanks for participating in our call.
Jeffery Wright: Yes, no problem. So understand that the potential sale of mill equipment was pushed off, remind me where is the location of mill equipment and approximately as a range or valuation of range you could assign to it, just hypothetically?
Frederick H. Earnest: Yes, absolutely Jeff. The mill equipment that we purchased in 2008 the ill Colomac mill was moved out of that site on the ice roads in 2008 and is presently in storage in Calgary and Edmonton. The containerized equipment is one location and all of the large equipment, the crusher, the primary crusher, sag mill and grinding mills are at the other location. We've retained A.M. King resources to market and manage the sale of that equipment and the asking price is presently $10.9 million, that was lowered slightly a year or so ago. That's the price that we believe the mill equipment is worth; however, should someone come to us with cash in hand and off a cash price for the purchase of the mill we would consider something less than that.
Jeffery Wright: Okay, so for modeling purposes we should just assign of valuation about $10.5 million and structure around scenarios from that is a pretty good starting point.
Frederick H. Earnest: That is a good starting point. I've told others Jeff that if somebody walked in the door with $8 million or $9 million that we would certainly give that consideration.
Jeffery Wright: That is considerate and then go from there, I understand. And I couldn’t remember exactly where it is located so Calgary, I mean any place, North America, South America would make perfect sense?
Frederick H. Earnest: Absolutely, I mean we could transport west to a coast if, to a port if needed. It could be shipped to Mexico via highways, interstates which what we plan to do.
Jeffery Wrightc: All right, thanks a lot.
Frederick H. Earnest: Very good, thanks Jeff.
Operator: Our next question comes from the line of Adrian Day. Please go ahead.
Adrian Day: Yes, hi Fred and others, good afternoon. Let me if I may, I have two questions, but let me follow up on the mill first if I may. How would you, I am wondering how you would categorize the fact that the mill hasn’t sold, is it lack of interest, is it lack of people who are interested, their lack of ability to pay or is it the price is not attractive to people?
Frederick H. Earnest: Adrian it's definitely not a lack of interest. It is certainly a lack of people who have interest not being in a position to be able to raise the money in this market to be able make the purchase and move their project forward. We thought that we had an arrangement with a Canadian junior right at the end of the first quarter that would have involved them taking on the storage cost in exchange for an option and even that proved to be troublesome for them from a financing point of view. So it's definitely the ability of people who have an interest to be able to come up with the money and we're trying to be creative in that regard.
Adrian Day: Okay, okay great. My other question if I may was on the Guadalupe, I am sorry, remind me if you don’t mind how much future payments are? And then a second question or second part, have you actually had a change to have conversations with Great Panther yet?
Frederick H. Earnest: The answer to the first question is that the remaining option payments to earn in on 70% interest in Guadalupe de los Reyes is $1.5 million payment that is due in January of next year, 2016 and $2.5 million payment that is due in January of 2017. You are probably aware that Cangold is the sister company to Great Panther Silver and that the CEO of both companies is Bob Archer and many of the board members are also in common between the two companies. I have had several conversations with Bob Archer leading up to just prior to the announcement and subsequent to the announcement that they are going to, that Great Panther is going to take over Cangold and I agree with Bob's assessment that while it may have been painful for the Cangold shareholders that in the long run it will be a very positive combination. It certainly gives us much more confidence that cash will be available to make the option payments and also that cash is available to proceed with the studies and the exploration activity and the things that they would like to do to be able to advance the project. So we view the combination of Great Panther and Cangold as a positive thing and think that it reduces the risk of whether payments will be made or not.
Adrian Day: Okay, now great. I had actually forgotten that Great Panther was a sister company of Cangold, so thanks.
Frederick H. Earnest: Good, thank you.
Operator: [Operator Instructions] There are no further questions at this time, please continue.
Frederick H. Earnest: Very good, Nick. We will wrap up this call. I would just like to take this opportunity to thank those who have dialed in and who will take the time to listen to the recording of this call at a later time. This continues to be a very interesting market. We believe that we are very well positioned with cash on hand and the work that we're doing at Mt Todd to eliminate those obstacles which could delay the project at a future point in time, i.e. getting permits out of the way and things like that at the present time. And we look forward to a change in the market. I think that what we have seen with regards to the market’s reaction to the periodic improvements in goal price and the way that our share price has responded favorably continue to lead us to believe that we are an outstanding investment who provide exceptional leverage in an improving gold price market and we would invite all of you to continue to keep an eye on Vista Gold and with that we will conclude the call. Thank you.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.